Operator: Good morning, and welcome to OppFi's First Quarter 2022 Earnings Call. All participants are in a listen-only mode. As a reminder, this conference call is being recorded. After management's presentation there will be a question-and-answer session. It is now my pleasure to introduce your host, Shaun Smolarz, Head of Investor Relations. You may begin.
Shaun Smolarz: Thank you, operator. Good morning. On today's call are Todd Schwartz, Chief Executive Officer and Executive Chairman; and Pam Johnson, Chief Financial Officer. Our first quarter 2022 earnings press release and supplemental presentation can be found at investors.oppfi.com. During this call, OppFi will discuss certain forward-looking information. These forward-looking statements are based on assumptions and assessments made by OppFi's management in light of their experience and assessment of historical trends, current conditions, expected future developments and other factors they believe to be appropriate. Any forward-looking statements made during this call are made as of today, and OppFi undertakes no duty to update or revise any such statements, whether as a result of new information, future events or otherwise. Important factors that could cause actual results, developments and business decisions to differ materially from forward-looking statements are described in the Company's filings with the Securities and Exchange Commission, including the sections entitled Risk Factors. In today's remarks by management, the Company will discuss non-GAAP financial metrics. A reconciliation of these non-GAAP financial measures to the most comparable GAAP measures can be found in the earnings press release issued earlier this morning. This call is being webcast live and will be available for replay on our website. I would now like to turn the call over to Todd.
Todd Schwartz: Thanks, Shaun, and good morning, everyone. The past two months since I returned to OppFi as CEO have been very exciting. We have refined our company mission and growth strategy, refocused our efforts on the installment loan business and continued to build our leadership team to take us to the next level as a publicly traded company. Now I would like to cover three topics before I turn the call over to Pam; one, offer some reflections on the first quarter in macro trends; two, discuss more detail about our long-term growth strategy; and three, elaborate on our proactive regulatory initiatives. While Pam will discuss our financial results in more detail, I want to start by discussing a few key highlights from the first quarter. The robust demand environment we experienced in Q4 continued to accelerate through Q1, resulting in a 63% growth in origination volume year-over-year, a first quarter record for originations for us. With a more normalized credit demand environment in the absence of federal stimulus dollars, in addition, our receivables ended the quarter at $338 million, up 38% year-over-year and remaining flat since the beginning of the year. Moreover, we rolled out an updated underwriting model, which tightened our scoring parameters and shifted our mix to higher quality customers. As a result, we believe the quality of our originations was very strong, as measured by future expected net charge-off rates. The Q1 vintages are experiencing early delinquency rates for new loans that are 20% lower than for loans originated in the second half of 2021. As a result, we are cautiously optimistic about this improved trend. We are also very pleased with our improved operational efficiency in the quarter. Our auto approval rate reached 61%, up from just 41% in the prior period. In addition, our cost per new funded loan decreased 17% year-over-year to $221 and decreased 15% sequentially from fourth quarter 2021. Turning to the income statement. Total revenue grew 20% to $101 million year-over-year, ahead of our expectations, driven by robust origination growth. However, as we anticipated, profitability was muted in the quarter due to elevated charge-offs from lower credit quality originations during the second half of last year, combined with a softer benefit from tax refund season. As a result, net revenue declined to $51 million, adjusted EBITDA decreased to $11 million, adjusted net income was approximately $600,000 with adjusted diluted earnings $0.01 per share. While we anticipated these results, we pride ourselves by our strong track record of solid profitable growth. Therefore, we view these first quarter results as a onetime event, and we are already starting to see credit normalize as we anticipated. In addition, the current macro environment which includes 40-year high inflation and rising interest rates is fueling demand by our customers. Within our industry, nonprime lenders and banks are pulling back from our target market, driving strong borrower demand to our platform. We believe we are well positioned to capitalize on this strong demand environment within our addressable market, affording us the opportunity to be more selective in our underwriting and facilitate credit to stronger high-quality borrowers. Moving on to discuss the long-term strategy with my return as CEO, we have refined our mission to be focused on facilitating safe, simple and more affordable credit access to the 60 million everyday Americans who currently lack traditional options while rebuilding their financial health. All of our current and prospective growth initiatives are and will be designed to help facilitate affordable credit access to achieve our overall mission for financial inclusion. For example, our market-based offer feature is helping us penetrate our existing market while also expanding our addressable market by more strongly competing on rate, term and loan amounts and thereby enabling us to reach customer segments that we have not historically served. We are actively exploring product extensions to enter adjacent market segments, including a sub 36% installment loan product that would feature a different business model with less balance sheet and credit risk. We would also consider acquisitions that would enable us to provide access to other customer types in adjacent lending categories and diversify our business mix. We have continued to build and augment our leadership team. In late March, we announced the appointment of Pam Johnson as Chief Financial Officer. Pam joined OppFi last year as Chief Accounting Officer, leading and expanding our accounting department since prior to our business combination with FG New America. Pam was CFO for more than a decade at multiple consumer finance companies, served nine years in accounting at a large regional bank and began her career in public accounting. We are very fortunate to promote Pam and are appreciative of Shiven Shah, our former CFO, for his tremendous leadership during the past five years. We also recently welcomed Manny Chagas as our Chief Operating Officer. He manages our people team, customer operations functions and banking partnerships to attain greater productivity and optimize employee and customer experiences. Manny joined us from Discover where he spent eight years in various leadership roles, which included managing product, marketing and operations for its student loans business. We are confident that Manny will help us enhance employee engagement, gain market share and achieve stronger profitable growth. We also underscored our commitment to building a best-in-class investor relations program by welcoming Shaun Smolarz as Head of Investor Relations, a newly created position. We believe Shaun's expertise will be invaluable to OppFi as we seek to grow our analyst coverage and investor base. We look forward to engaging with current and prospective investors more frequently so that our growth strategy and competitive differentiation are clearly understood. We are confident that as more than 10 years of capital markets experience, including equity research on both the sell side and buy side will enable him to successfully lead the strategy and execution of our Investor Relations function. Turning to the regulatory side of our business, I want to provide a brief update of our proactive activity to defend our business in California. In March, we filed a complaint in Los Angeles Superior Court for a declaratory and injunctive relief against the Commissioner of the Department of Financial Protection and Innovation for the State of California. We are seeking a declaration that the interest rate cap set forth in California law do not apply to loans that are originated by OppFi's bank partner and service through OppFi's technology platform. On April 8, the DFPI filed a counterclaim against the Company. The Company intends to aggressively prosecute the claims set forth in the complaint and vigorously defend itself against the counterclaim as OppFi believes that the DFPI's position is without merit as explained in our complaint. There are 7.2 million Californians that lack access to traditional credit options and OppFi will continue to defend their ability to obtain credit by utilizing our platform. While we will not comment further on this pending litigation, I will share with you highlights of a recent survey that we undertook to better understand our customers in California and the value that they place on our platform. Of the 1,700-plus respondents, more than 90% had a positive experience. Almost 50% were turned down by a bank or credit union and more than 50% decline by another online lender. Without OppFi or one of our peers, more than 80% would fall behind on bills, 30% would be at risk of losing their job or losing their housing and 12% would file bankruptcy. We think these statistics are compelling and speak for themselves. However, I want to further underscore the primary conclusion from this survey, 80% of the respondents choose to leave an optional comment. And of these 93% were positive. Here's one such comment. "It helped me get through the struggle I was facing. Without the help, I honestly don't even know what would have happened. I'm very blessed to know Op loans exist because there's many people out there who probably don't know there is this helping hand." These survey results and comments illustrate why we continue to lead the industry with an 85 Net Promoter Score, facilitating access to credit for these customers during their challenging financial times is exactly what motivates me and our entire company every day to truly make a difference in people's lives. In closing, I want to reiterate that we are committed to executing on our corporate share repurchase program when we believe OppFi's share price is disconnected from the long-term value and potential of the Company. In addition, my family and I are and have been strong believers in the long-term potential of OppFi and are prepared to further invest and support the stock when we see such a disconnect in the market. With that, I'll turn the call over to Pam to review our first quarter in more detail.
Pam Johnson: Thanks, Todd, and good morning, everyone. Turning now to our first quarter results. Total revenue increased 20% to $101 million. As Todd mentioned, we achieved a 63% year-over-year increase in originations while lowering our marketing cost per new funded loan by 17% or $45 to $221 compared to the prior year period. These results reflect stronger strategic marketing partnerships and more efficient utilization of other non-direct mail channels, such as search engine optimization, e-mail and customer referrals. We have seen a year-over-year increase in key operational metrics, such as qualified rate, defined as qualified apps over applications and funded rate, defined as funded loans over qualified apps. In addition, our investments in automation resulted in our auto approval rate increasing 49% year-over-year to 61%. Our origination mix continues to shift towards a servicing or facilitation model for bank partners from a direct origination model. Total net originations by our bank partners increased to 95% in the first quarter, up more than 24 percentage points from the first quarter of 2021. In addition, our net originations saw an increase in the percentage of originations of new loans compared to refinanced loans as we continue to drive growth through increased marketing spend with cost-efficient marketing partners driving more new loans. Total net originations of new loans as a percentage of total loans increased to 53%, up nearly 20 percentage points from the first quarter last year. Our annualized net charge-off ratio was 56% for the first quarter of 2022 versus 53% for the fourth quarter of 2021 and 30% for the prior year quarter. The increase reflects a normalization of credit towards pre-pandemic levels and includes losses from new loan segments that are no longer being approved in 2022. However, to reiterate what Todd said earlier, the higher quality level of originations from the first quarter are already leading to early delinquency rates that are 20% less than for originations in the second half of last year. We continue to expect improvement in our net charge-off ratio beginning in the second quarter trending towards pre-pandemic levels as the year progresses, driven by our updated underwriting model of tighter parameters. In addition, as Todd mentioned, we are utilizing this opportunity to focus originations on higher credit quality borrowers within our addressable market. Turning to expenses. Operating expenses for the first quarter, excluding interest expense as well as add backs and onetime items increased 34% to $43 million or 43% of total revenue from $32 million or 38% of total revenue in the year ago period. The year-over-year increase was due to higher direct marketing costs to drive new originations and increase in salaries and benefits related to additional headcount, increased insurance costs as a public company and further investment in technology infrastructure. However, as discussed in our fourth quarter earnings call, we launched operational efficiency initiatives in the first quarter that we anticipate will yield $15 million in after-tax annual cost savings. All of these initiatives are well on track and performing to our expectations. While we anticipate realizing only a portion of the $15 million this year, we are on pace to exit 2022 in position to benefit from the full run rate next year. Adjusted EBITDA totaled $11 million for the quarter, down $21 million versus the prior year quarter, as higher revenues were more than offset by elevated charge-offs and increased operating expenses. As expected, our adjusted EBITDA margin compressed to 11% compared to 38% in the year ago period. Interest expenses, excluding debt amortization for the first quarter totaled $7 million or 7% of total revenue compared to $4 million or 5% of total revenue in the year ago period. We generated adjusted net income of approximately $600,000 for the first quarter compared to $19 million for the comparable period last year. As of March 31, 2022, OppFi had 84.5 million adjusted shares outstanding, excluding 25.5 million earn-out shares. Adjusted basic and diluted earnings for the first quarter were $0.01 per share. Our balance sheet remains healthy with cash of $60 million, total debt of $281 million, gross receivables of $338 million and equity of $157 million. Our net debt-to-equity ratio remains well below 2x and coupled with approximately $455 million in total funding capacity, we have ample liquidity available to support our future growth plans. Turning now to our outlook. As Todd discussed, based on our strong origination volume recorded in the first quarter, our macro outlook and anticipated improvement in net charge-offs in the second half of the year, we are reiterating our full year guidance as previously issued. To summarize, we expect the following for 2022. Total revenue and ending receivables growth of 20% to 25%, net revenue margin defined as gross revenues less change in fair value between 60% and 65%, adjusted operating expenses, excluding interest expense, add-backs and onetime items, as a percentage of revenue between 43% and 47%, adjusted EBITDA margin between 20% to 25% and adjusted net income margin between 8% and 12%. Importantly, we have reaffirmed our outlook based on confidence in three key areas: number one, origination volumes remain strong; number two, net charge-offs stabilizing and improving with our tightened underwriting model; and number three, realizing benefits from operating expense efficiency initiatives already underway. We believe our balance sheet is well positioned to weather market disruptions with multiyear committed lines and ample capacity. Further, compared to some peers in the specialty lending industry, we think our profitability is less affected by higher interest rates. Our credit agreements contemplate rising interest rates, resulting in minimal impact on our financial performance and spreads and underscoring the resiliency of our business model to weather varying economic cycles. In mid-April, we were very excited to have reached a total return swap agreement that provides up to $75 million in additional funding capacity. Through this structure, loans are originated by our partner banks as they normally do, but the interest in the loans are purchased by a third party, which provides balance sheet relief to the banks. OppFi continues to perform loan servicing. OppFi also provides credit protection through the total return swap to the lender that provides financing to the third party since we are familiar with the underlying assets. We believe this structure enables us to maintain the growth in our core product while increasing capital efficiency. With that, we would now like to turn the call over to the operator for Q&A. Operator?
Operator: [Operator Instructions] First phone question is from the line of David Scharf with JMP Securities.
David Scharf: Todd, wondering if you can expand a little bit on sort of the broad comments about how you've refined your sort of target marketing and underwriting. And I guess specifically, as you talk about sort of higher credit quality borrower, can you be a little more specific? I mean, obviously, these are higher cost loans, triple-digit APRs. But is it primarily a reflection of the channels through which they come from? Are there any particular characteristics, whether it's debt-to-income levels? Just trying to get a little better sense for how the business has either been repositioned or reset to pre-2021 levels?
Todd Schwartz: Yes. David, thank you for that question. So coming back in as the Founder, some of the things that were core to OppFi in the early days were our robust referral program. We didn't really have marketing in the early days when I kind of founded the business, it was basically all referrals. And so I have a real granular understanding of how to propel our referral program, and we've made some operational changes that have significantly improved that channel, which is a low-cost channel, but also we do receive higher-quality borrowers from referrals. One thing that has really been revamped over the fourth -- is our search engine optimization program. These -- obviously, there's some overhead attributed to it. But as far as the actual acquisition cost is virtually zero, and we're driving a lot of new originations from that channel. The acquisition cost from last year had significantly improved due to those efforts, also direct mail, right? So direct mail on the acquisition cost on that channel was coming in higher than we'd like from an ROA perspective. If you look at the ROA, we've been able to make significant strides. We rebuilt the direct mail model that better targets customers in the market and [indiscernible] better response rates and conversion rates. So those are some of the things we're doing on the marketing channel side, I think. And then if you look at the partner channels the Credit Karmas, the LendingTree, the QuinStreets of the world, our market-based offers have been -- we're showing -- we're still testing. We're being -- we're cautiously optimistic. We -- obviously, if you remember from the last call, we had some issues in testing in the second half of last year that kind of came back to bite us a little bit in the first quarter. So -- but the market-based offers allows us to find new borrowers and then we segment our borrowers in our credit model and our weighted average risk score, which is if you take like as a whole, as a vintage has come down significantly. So we know that we're finding higher quality customers and able to still maintain more free cash flow and relatively the same ROA. And so I feel really good about those operational improvements we made over the first quarter, and we're starting to get the benefit of it and see extremely strong demand. And like I said, with a higher quality customer coming through. And I think the second part of the question was how do we know that they're higher quality. Well, we've been around for 10 years. And our data is pretty robust just by the sheer number of volume and number of customers that we've serviced for the last 10 years. There's various attributes that go into the scoring that allows us to identify these customers. But these customers are definitely higher quality based on ability to pay, based on their bank transactions, based on the attributes that we're looking at from the various data sources that we pull. So we feel really good about the fact that we've tightened the credit model over the first quarter, but still are exceeding our growth plan and the acquisition cost is also matching. So that's kind of what I call the trifecta.
David Scharf: Got it. No, that's very helpful. And obviously, the early stage delinquency reductions are certainly supporting it. Just one follow-up. As we think about the product mix and the profile going out 12, 24 months, you had referenced adjacencies, including sub-36%. Is that -- just curious, is that a business where, I guess, number one, if there's any overlap with your existing borrower base? I mean sometimes repeat borrowers demonstrate the ability to continually repay and get offered lower rates. And I'm curious whether or not any of your installed base, you actually think might be ultimately qualified for that? And from a return standpoint based on your existing cost of capital, obviously, that's a lot less APR starting with. There have to be a different funding strategy contemplated to meaningfully underwrite sub 36% loans.
Todd Schwartz: Yes. So the way we're going to place sub-36% to be clear, is from as a servicer, right, as an originator and a servicer. We don't plan to play where we take the credit risk or the balance sheet risk. So one thing that OppFi has built is one of the strongest consumer-facing brands in the online lending world. We have an 85 NPS. Our tech infrastructure allows for installment-based products. And so for us to play sub-36, all the marketing channel partners and a lot of the marketing that we're already doing is consistent with the core business. And so it's essentially taking everything that we've built over the last 10 years and using it to earn service and fee income and acquisition fee income from customers. And it also provides for a natural graduation product for our current customers. Unfortunately, we have this product feature, David, where we screen our customers against a consortium of low-cost lenders before they take out our product. It's our commitment to our customers to make sure, "hey, if we can find these lower cost of capital, let's do that and hope you're successful". Out of the 7% that match, I think half of those end up getting approved. So unfortunately, the reality is it's a small percentage today, but it would be nice that if we were able to match, we could provide that product for the customer instead of kind of providing it through a third-party consortium of lenders. And then in addition, yes, it's a natural graduation product for our customers. So when our customers are successful, and do pay us over time and their credit profile improves, it's a natural graduation for a customer, which would be a lower rate, a little bit of a longer dated maturity and larger amounts of capital to help them consolidate bills and expenses.
Operator: Our next question is from the line of Mike Grondahl with Northland Securities.
Mike Grondahl: Could you talk a little bit about demand and kind of the pacing of demand kind of January through April?
Todd Schwartz: Specifically, the pace like has it picked up towards the second half?
Mike Grondahl: Yes, with inflation and gas prices kind of rising a little bit later in the quarter, just trying to understand, did you see demand pick up at the same time? And maybe kind of what you saw with delinquencies and credit quality as those things have picked up?
Todd Schwartz: Yes. I mean there was a muted tax refund season pretty much -- the whole first quarter, we saw [indiscernible]. But specifically, March, April, there's been a noticeable pickup. And I think with everything from prices rising 8% to 9% year-over-year to interest rates rising, housing costs, I mean, these are all hitting not just our borrowers, but kind of all consumers. And I think what's happened in March is we've anecdotally heard but also read that there's banks that may have been serving kind of the top tier of our customers for the last couple of years through COVID have now tightened their credit models. And we're getting a benefit of those customers now, once again interacting with OppFi and needing us to facilitate credit access for them. But yes, there's definitely an increase in demand and higher quality borrowers that we're seeing.
Mike Grondahl: Got it. And then Pam, that $75 million, I'll call it, financing you talked about, how will that show up? Or will that show up kind of in your financial statements? How should we think about you guys accessing that? And how will we see that?
Pam Johnson: Right now, we're still researching that with our technical accounting advisers, Mike. We are anticipating having that as an off-balance sheet item. So you won't see that on our balance sheet. However, we will be the servicer, you'll see fees and acquisition costs -- or acquisition fees related to that product. Plus then you'll see a derivative on the balance sheet for the total return swap.
Operator: [Operator Instructions] We do have another question from the line of Chris Brendler with D.A. Davidson.
Chris Brendler: I wanted to ask on the credit side. Just to confirm that the issues in the first quarter and some of the improvements you've seen subsequently, that was [indiscernible] the same issues you called out last quarter with some of those marketing partners you had, just want to make sure that there wasn't an additional step down in some of that second half vintages that have been underperforming.
Todd Schwartz: So I mean we have not been originating. We've made subsequent enhancements to the model in early in the first quarter. We also made one at the end of last -- but that volume is no longer being originated or facilitated. We are not -- we deemed it to not be a customer that can be successful in our system. I mean, ultimately, our goal is to give our customers the capital that they need to stabilize their situation and then help them rebuild their financial health. So that takes people paying you back, right, and being successful in our system, whether they pay in full, whether they decide that they want to refinance into higher amounts or they graduate. We do need people to pay us back. So we have no interest kind of in a customer that's kind of a onetime user and that they're really just going to kind of be -- go to the delinquency buckets. So we've definitely enhanced our credit model significantly at the end of last year in the first quarter.
Chris Brendler: Okay. So my understanding was it was like a partner issue, sort of some of these newer fintechs were trying to be adversely selecting OppFi and that -- but it wasn't really like a credit box. Is there also like a certain borrower type, either from a FICO or other credit standard perspective that you also have tightened up on as a result of the second half performance?
Todd Schwartz: Yes. So specifically, like if you remember from the last call, it was the Neobank population, what we have seen is there's been a large number of customers that apply with us roughly almost 10% that are using these Neobank programs, like Chime as an example. We ran a significant test in the fourth quarter to try to find borrowers in that set that could be successful and pay back. And unfortunately, we determined that they are -- they were a higher-risk customer, and we were not able to make them successful. One of the real technical things there is in these neobanks, people get paid two days early, three days early sometimes, that's one of the benefit of those. And I think that is something that is difficult to time and figure out when funds will be available to kind of pay back the installment loans. So we no longer are originating that, that has stopped in the fourth quarter. In addition to that, though, we took the opportunity with increased demand to also just look holistically at our underwriting model and find some higher risk borrowers that we thought that with inflation coming and with the macroeconomic environment, would be -- would not be a good fit for us and have -- that was early in the first quarter, like in January, so first thing in January. So I feel really good. What's great now is like we've been able to make those tightening. We've tightened the model, but we've also been able to lower acquisition costs and continue to grow and exceed our expectations. Like as I said before, that's like the trifecta.
Chris Brendler: Yes. No, this is actually the first quarter that originations came in above my estimate. So it's nice to see. On those lines, actually, the demand environment improving. I guess my question would be, how much are we back to normal? I mean I think we're still not quite back to where we would have been in 2019 from a consumer demand perspective?
Todd Schwartz: I think we're there. From what I'm seeing, I'm seeing significant demand. But like I said, once again, we look at things from an ROA perspective and people have to pay you back. So like we're happy to see a normalization of demand and exceeding expectations. But I think we're also very cognizant. We've been around for a while. We know that you still need to collect and you still have to be -- have people to be successful in our system to have it flow through to the P&L. So we were actively enhancing our model as we go, as we find new volume and higher quality volume to make sure that we're not going to make the same mistake kind of that we did in the second half of last year.
Chris Brendler: Got it. Okay. Great. It's great to hear about demand that should make things a lot easier in the bigger top end of the funnel coming in. On the yield, it came in lower. I wanted to ask how much of that is the personalized pricing versus the increased delinquencies so the yield potentially could stabilize or go back up a little bit as delinquency improves? And then also, how much -- what does the higher interest rate environment mean for OppFi?
Todd Schwartz: Yes. Pam, can take the interest rate question. I'll talk about the yield. Most of that the delinquency, right? And the net yield is being taken from the delinquency. We're still on the market-based offer approach, like being very thoughtful about it and keep holding it to a percentage that we feel really comfortable with, learning from kind of last year and that -- it's more definitely driven by kind of the stuff that flowed through in the first quarter.
Chris Brendler: Okay. Great. Go ahead, Pam.
Pam Johnson: As far as the interest rate environment, Chris, our credit agreements to incorporate rising interest rates. So it results in a minimal impact on our financial performance and spreads. So -- and we've already baked that into our guidance and our projections. So we have a resilient business model because of the way we've structured these credit agreements.
Chris Brendler: Right. And I guess when you're lending at [120 -- 150] basis points doesn't rely matter that much. So along those lines, though, just the overall tightening of market conditions, we've seen some other lenders have struggled to get financing whereas a year ago is super easy. Todd, your comments about being want to step up and support this company and the vision here. How do you sit from a funding perspective? And have you seen any of that tightness show up in some of your recent discussions with your lenders?
Todd Schwartz: Just so I make sure I understand the question, when you're funding showing up, I just want to make sure I understand the question.
Chris Brendler: Just like warehouse lines and your other sources of funding beside...
Todd Schwartz: Yes, I mean, listen, I mean, we've had long-dated relationships with our financing partners, and we have very strong ones. That has not been something that we've had issue with. I think if you haven't been around for 10 years and have the history we've had and the level of success, there may be some financing partners that pull back here [indiscernible] because they're worried about the inflationary environment. But I think there's going to be a flight to quality, right? And a bifurcation between lenders that are doing this profitably and have been around and continue to grow and ones that the newer entrants that might not be as stabilized.
Operator: Our next question is a follow-up question from the line of David Scharf with JMP Securities.
David Scharf: Just really some kind of housekeeping items for Pam. I guess, first, is there a charge-off dollar number you can provide us with for the quarter? We have the rate, but the actual dollar number?
Pam Johnson: Around $50 million for the quarter.
David Scharf: Got it. And just to provide, I guess, context for the comments about returning to sort of pre-pandemic loss rates. The -- I guess, the normalization, you're sort of working in the opposite direction from what we've been dealing with during the last few quarters with most lenders where they're seeing losses increased to pre-pandemic levels because of the nuance surrounding those 2021 vintages you're going in the other direction. But I guess, Todd, trying to just triangulate what kind of loss rate you're anticipating exiting the year at? And I would imagine these are short duration assets that's sort of embedded in your fair value calculation as well. I mean, are we -- should we be looking at sort of 2019 levels, in the mid-30s as an exit point? Or is that too aggressive?
Todd Schwartz: I think maybe for this year, that's a little aggressive. I mean we're looking to get back down into the low 40s for the second half. And then eventually, we're going to continue to push on that, and we'd like to get back down into the high 30s for next year. But listen, I mean, you have a demand environment that's extremely strong because of the weakening of kind of some of the consumer health segments. So we're also -- we're being cautiously optimistic there, but we're also realizing the macro environment is one where the reason the demand is so strong is also because of weakening of the backdrop, right, the macroeconomic backdrop for our consumers, that things are more expensive, interest rates are going up, housings and used car market's expensive. So we're balancing that.
David Scharf: Got it. Got it. And then lastly, just a technical question. I'm looking once again at the fair value slide that was provided. It looks like it's Slide number 13. And obviously, a lot of inputs go into the mark-to-market once adopting fair value accounting. I'm trying to better understand how to put into context the default rate. Can you Pam maybe provide a little bit of a thumbnail education for me on how I equate that 18.5% to either the existing kind of loss rates, the future expectations. I'm trying to put that into context versus default rates that are considerably higher on an annualized basis?
Pam Johnson: Sure. We are able to refi customers. Now we do a full underwriting of that refi, but that -- when you think over the life of that customer, the default rate is different than just a charge-off rate. Is that helpful?
David Scharf: Yes. No, no. Clearly, the loss rates on repeat borrowers are going to be lower. But is this 18.5%, that's an annualized figure?
Todd Schwartz: That is -- this is [indiscernible] with OppFi. That figure is respective view of an average individual loan. So when you start to blend those over a number of different repeat borrowers, that's when you start to see the deviation from what you're seeing observed on the financial statements.
Operator: And there are no further questions at this moment. I'll turn it back over to Todd Schwartz.
Todd Schwartz: Well, thanks, everyone, for joining us today. Hopefully, you now have a better appreciation and understanding of our mission, strategic growth strategy and confidence. We look forward to speaking with you again during our second quarter earnings call in August.
Operator: Thank you. Ladies and gentlemen, that does conclude today's call. We thank you for your participation and ask that you please disconnect your lines.